Operator: Greetings, and welcome to the Oshkosh Corporation reports Fiscal 2013 Third Quarter Results. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation. Thank you, Mr. Davidson. You may begin.
Patrick N. Davidson: Thanks, Manny. Good morning, everybody, and thanks for joining us. Earlier today, we published our third quarter 2013 results. A copy of the release is available on our website at oshkoshcorporation.com. Today's call is being webcast and is accompanied by a slide presentation, which includes a reconciliation of non-GAAP to GAAP measures used during this call and is also available on our website. The audio replay and slide presentation will be available on the website for approximately 12 months. And please refer now to Slide 2 of that slide presentation. Our remarks that follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks that could cause actual results to be materially different from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we have described in our Form 8-K filed with the SEC this morning and other filings we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. All results stated on this call are for continuing operations attributable to Oshkosh Corporation, unless stated otherwise. Also, all references on this call to a quarter or a year are to our fiscal year or our fiscal quarter, unless stated otherwise. Our presenters today include Charlie Szews, Chief Executive Officer; Wilson Jones, President and Chief Operating Officer; and Dave Sagehorn, Executive Vice President and Chief Financial Officer. Please turn to Slide 3, and I'll turn it over to you, Charlie.
Charles L. Szews: Thank you, Pat, and good morning, everyone. We're pleased to announce excellent third quarter results today. It was generally our strongest quarter of the year from a seasonal perspective. We delivered earnings per share of $1.67, nearly double last year's third quarter earnings per share of $0.84 per share. Third quarter performance significantly exceeded our expectation, as our MOVE initiative gained momentum in the quarter. As many of you know, MOVE is our roadmap to reach our target of delivering earnings per share of $4 to $4.50 in 2015. Our team continues to execute with great energy and discipline to achieve that goal, and we believe we're on track to hit this range. Our third quarter results largely reflect continued strong replacement demand for Access Equipment in North America and growing demand for concrete placement products. Other markets are mixed, and Wilson will provide some color on those. Now this quarter also benefited from sales of approximately 400 M-ATVs internationally. During the quarter, we also continued to execute our capital allocation strategy as we repurchased 1.1 million shares of Oshkosh Corporation common stock at an average price of $38.35 per share. Dave will have a few additional comments on this later in the call. Finally, I'm pleased to announce today that we are significantly increasing our earnings outlook for the full year to an adjusted EPS range of $3.60 to $3.70. This increase largely reflects our much-better-than-expected third quarter performance. Now please turn to Slide 4 for an update on our Defense segment. Now despite the challenges of spending reductions by the U.S. Department of Defense, our Defense team continues to execute extremely well. Results of this execution can be seen in the strong operating income margin that we are reporting today. I would like to thank all of our Defense team members for their dedication to Oshkosh Corporation and to our brave servicemen and women. Our quarterly performance largely reflects the sale of approximately 400 M-ATVs internationally and some positive adjustments that Dave will describe. We expect to sell approximately 100 M-ATVs in our fourth quarter. Also, during June and July, as previously announced, we reduced both our hourly and salaried workforce in the Defense segment. These reductions were necessary to align our staffing levels of lower expected production requirements. With these reductions, we believe we remain on track to achieve at least the baseline projected results for this segment that we shared with you at our Analyst Day last fall for FY '14 and '15. Now turning to business development. We announced the strong win in May as our Defense and Airports Products groups teamed up to capture the Marine P-19R ARFF competition. This contract is for quantity of up to 200 units, with the majority of the units scheduled for delivery in 2017 and 2018. We also secured a second order for the Kingdom of Saudi Arabia for additional M-ATVs for delivery in 2014. This brings our total M-ATVs for shipment to this customer in 2014 to just under 200 units. We continue to believe there are opportunities for additional M-ATV orders from international customers. Now before we leave Defense, I'd like to make some comments on Joint Light Tactical Vehicle program. We continue to be encouraged by our engineering efforts and reliability testing on the high-profile program. In mid-June, all 3 companies participating in the EMD phase of the competition demonstrated their vehicles to a group of key congressional and Department of Defense leaders. The Oshkosh vehicles pushed the pace, and performed extremely well on the severe off-road course. We plan to deliver our 22 vehicles in August under the EMD contract in time for the planned start testing. Now the potential effect of the sequestration program has been discussed in a number of different venues and trade publications. We believe the program can be executed to the published schedule or faster. This is an important program for the DoD, filling a critical capability gap for our growing operations. And the EMD competition has demonstrated that the DoD's next-generation performance requirements can be met now at their target cost and at lower risks to them. This is the kind of well-executed, successful program the DoD needs for our troops and our taxpayers. Now Wilson Jones will discuss some of the highlights of other business segments, and please turn to Slide 5.
Wilson R. Jones: Thank you, Charlie. Good morning, everybody. The Access Equipment segment recorded one of its best quarters ever with third quarter operating income margins of 16.4%. Continued solid replacement-driven demand in North America drove the strong performance in this segment. The trends we've talked about over the past few quarters led to sales in North America that were nearly 25% higher than the prior year quarter, driven by deliveries to national rail companies. Independent rail companies in North America continue to return to the market for replacement equipment as they are finding available financing. We expect the IRCs' buying to continue to grow well into 2014, which is a positive sign for the overall market. Outside North America, markets remain mixed. We have experienced solid demand revenue growth in the Middle East. In Europe, we have continued to experience positive activity in some countries, offsetting depressed markets in other areas of the region. Demand continues to grow throughout Latin America, although we are uncertain about the impact on demand in the short term of the high-profile protest taking place in Brazil. We do believe the Brazilian market is attractive and will provide sales growth for us over the next several years. Turning to Asia Pacific, we continue to experience softer demand in Australia during the quarter due to a slowdown in mining activity and energy infrastructure build-out. Another contributor to the improved performance in this segment was our mix of business, which is more heavily weighted towards aerial work platform products this quarter. This follows the pattern that we described to you on our last quarterly earnings call when we discussed the relative strength we were experiencing with aerial work platform orders. The strong product mix, along with benefits from the MOVE initiatives and improved pricing, allowed the team to deliver the strong results this quarter. Please turn to Slide 6 for some comments on our Fire & Emergency segment. Despite persistent challenging market conditions, our team in the Fire & Emergency segment continue to experience incremental improvement in the overall business environment. Last quarter, we told you that we thought we had turned the corner in the U.S. municipal market and we still believe that to be true. In a number of areas across the U.S., we have seen improvements in orders. Just a couple of weeks ago, I was out visiting several of our dealers and they spoke about the market turn in their regions. It was great to hear their enthusiasm and comments on fire departments beginning to move forward to replace aged equipment. However, federal spending is still down significantly and is weighing on the improvements we're seeing on the municipal market. To counter some of this impact, we remain focused on capturing international opportunities. This focus has continue to pay off her us. During the quarter, we received orders from around the globe, including multiple unit orders from China and Iraq. We also continued to invest in MOVE initiatives to improve our cost structure and our ability to respond to customer demand. We have dedicated teams tasked with delivering the benefits for each MOVE initiative. We expect to see the results of these teams' efforts in a more meaningful way in 2014 and 2015. With the long production cycles in this business, it takes a little time for our initiatives to impact the bottom line. As a result of order patterns and delivery rates that we saw in this segment in the third quarter, and that we expect in the fourth quarter, we have raised our expectations for this business for the full year, which is certainly good news. Dave will provide a few more specifics on this in a few minutes. Let's shift to our Commercial segment, please turn to Slide 7. The Commercial segment continue to benefit in the third quarter from the ongoing improvement in the U.S. housing market. Concrete placement products quoting activity in the quarter remained at elevated levels compared to the last few years. In fact, compared to the prior year quarter, concrete placement sales were up 50%. However, this recovery market is still a long way from this historical volumes. We have seen notable strengths in several southwest and West Coast markets, but believe that all regions of the United States are participating in this market recovery. Turning to our refuse collection products. As we discussed last quarter, one of our largest customers pushed a large portion of their 2013 orders to the second half of the year. As expected, this contributed to our third quarter RCV sales being down year-over-year. Looking ahead, we do expect our fourth quarter RCV sales to be up slightly over the prior year quarter. We generated strong interest in our new lightweight front-end loader at the WasteExpo show in May. While it's still too early for us to be forecasting 2014, given the timing of orders from a large customer as previously mentioned and new lightweight front-end loader launch, we believe we have opportunities to grow this business next year. Similar to our other segments, we are continuing to ramp up our investments and resources dedicated to MOVE initiatives in this segment. While we are starting to see the benefits from these investments, improving our cost structure and making lasting changes is not something that happens overnight. We need to thoroughly test and validate these changes to our products and processes. I'll hand it off to Dave now to review our financial results for the quarter and comment on our expectation for 2013. Please turn to Slide 8.
David M. Sagehorn: Thanks, Wilson, and good morning, everyone. We were quite pleased with the team's execution this quarter. Consolidated net sales for our third quarter were $2.2 billion, a 2.1% increase from the third quarter of 2012. Access Equipment and Commercial segment sales were each up double-digit percentages over the prior year period, while Fire & Emergency and Defense segment sales were down compared to the prior year. Access Equipment segment sales, compared to the prior year, benefited primarily from continuing improved market conditions, largely North America, incremental pricing from previously implemented price increases in higher aftermarket parts and service sales, offset by lower unit sales in Australia. Commercial segment sales benefited from significantly higher concrete mixer sales and higher content units, which more than offset lower refuse collection vehicle sales. While down compared to the prior year, Defense segment sales in the quarter benefited from the sale of approximately 400 M-ATVs to the UAE as part of the previously announced 750-unit order. And Fire & Emergency segment sales were down mainly due to the timing of several large, multiunit sales in the prior year quarter. Consolidated operating income for the quarter was $225.6 million, or 10.2% of sales. This compared to operating income of $126.2 million, or 5.8% of sales, in the third quarter of 2012. Access Equipment segment operating income margin of 16.4%, compared to 10.8% in the prior year quarter, and Defense segment operating income margins of 9.8%, compared to 4.2% in the prior year quarter were the main drivers of the nearly doubling of consolidated operating income margins in the third quarter. Access Equipment segment margins in the quarter increased mainly as a result of benefits from MOVE initiatives, including improved pricing, product and process cost reductions and an improved product mix. Defense segment operating results largely benefited from a favorable product mix, including the sales of M-ATVs internationally, as well as the continued benefit of improved operational efficiencies that we discussed in last quarter's call, and favorable adjustment upon the final negotiations of previously undefinitized contracts. And finally, Commercial segments results this quarter included $2.7 million of restructuring-related expenses. More information on our third quarter results, by segment, can be found in the appendix of today's slide deck. Earnings per share for the quarter was $1.67; this compares to earnings per share of $0.84 in the prior year quarter. In addition to the strong operating income performance, third quarter 2013 results benefited from the discrete tax items related to provision to return investments and the reduction of valuation allowances on state NOL carryforwards that, together, totaled $0.08 per share. This lowered our third quarter effective tax rate to 28.9%. Earnings per share also benefited by $0.07 from the share repurchases that we completed through the third quarter in 2013. We have repurchased almost 5.4 million shares of Oshkosh common stock in the current fiscal year, including 1.14 million shares, or $43.9 million, in the third quarter. Approximately 87 million shares of Oshkosh common stock were outstanding at June 30. Please turn to Slide 9 for an update to our outlook for 2013. We're pleased to announce today significantly higher expectations for 2013. We are increasing our estimated adjusted earnings per share from a range of $2.90 to $3.15 to a range of $3.60 to $3.70. The increase in estimated full year results is largely due to higher-than-previously-expected results in the third quarter in our Access Equipment and Defense segments, along with an expected lower tax rate and the benefit of share repurchases completed in the third quarter. We now expect Access Equipment sales to external customers for the year will be approximately $3.1 billion, a more than 12% increase from 2012. We also expect operating income margins in the segment will be approximately 12% to 12.25%, compared to the 7.9% in the prior year and our prior estimate of 10.5% to 11%. We expect Defense segment sales of approximately $3.1 billion for the year, which is at the low end of the range that we discussed last quarter. We are, however, increasing our estimated 2013 operating income margin for Defense to be about 7.5%, compared to our prior estimate of approximately 7%. We're raising our Fire & Emergency sales estimate to nearly $800 million, an increase from our previous estimate of $720 million to $750 million, driven largely by expected higher shipments. Our operating income margin expectations for this segment remain unchanged to 2% to 2.5%. Our sales and operating income assumptions for the Commercial segment remain unchanged from our previous expectations. We expect our corporate expenses will be approximately $145 million for the year, consistent with the top end of the range we discussed last quarter. We are now estimating a full year effective tax rate of 29.5%, down from our prior estimate of 31%, reflecting the discrete tax benefits that we recorded in the third quarter. And we believe our capital expenditures for the year will be approximately $45 million. We're also increasing our free cash flow expectations to a range of $275 million to $300 million, based largely on our updated expectations for stronger earnings and improved working capital trends. And we are now assuming an average share count of $88.8 million for full year earnings per share calculation, which excludes the impact of any share repurchase activity that we may undertake in the fourth quarter. Implied in our updated full year estimates is expected fourth quarter earnings per share of $0.37 to $0.47. While lower than previous quarters in 2013, this is to be expected as the fourth quarter is historically a seasonally weak quarter for us or weaker quarter for us, and because we anticipate the Defense segment will experience a more than 35% reduction in sales compared to the third quarter, as a result of reduced domestic volume and completion of the UAE M-ATV contract. Please turn to Slide 10, and I'll turn it back to Charlie for some closing comments.
Charles L. Szews: Thanks, Dave. We had a great quarter, which we believe reinforces the power of our MOVE strategy and our ability to achieve our 2015 earnings per share target range of $4 to $4.50. We're on track with the plans that we discussed during our 2012 Analyst Day, and we are very pleased with the progress of our MOVE initiatives and performance to date. Keep in mind that our Defense business has significantly outperformed expectations in 2013, but is expected to decline in 2014. So while we are -- we have confidence in our ability to achieve our EPS range for 2015, the path to get there may not be linear. We will discuss our expectations for 2014 in the next quarterly earnings call in October and we'll also provide you with a scorecard of our 4 MOVE initiatives. Above all, our MOVE strategy is working and we're energized and excited about the future. That concludes our formal comments. We're happy to answer questions, so I'll turn it back over to Pat to get the Q&A started.
Patrick N. Davidson: Okay. Thanks, Charlie. [Operator Instructions] Manny, let's please begin the question-and-answer period of this call.
Operator: [Operator Instructions] Our first question comes from Charley Brady of BMO Capital.
Charles D. Brady - BMO Capital Markets U.S.: Just want to focus on Access for a minute. Obviously, that market performance in the quarter, pretty strong. Can you just give a sense of what the mix was between AWP and telehandlers? And then in one of your slides in the back, in the Appendix, you talked -- you kind of break it down on how the margins has impacted price and some other things. Can you give us a sense of, I mean, how much price contributed to the margin? And do expect that mix in Q4 to kind of go back to a more normalized rate?
David M. Sagehorn: Charley, it's Dave. I'll start out with the mix and maybe pass it over to Wilson to talk a little bit about the pricing. We did see a stronger mix of aerial work platforms as -- and we had talked about that really on the last quarter that we were seeing that from some of the order trends that we're experiencing in the March quarter. I think if you look at the first half of the year, it was definitely more heavily weighted towards telehandlers. We did see that shift this year, or this quarter, and really more on the aerial work platforms themselves. Within that whole category, we've got the boom products, we've got scissor products and some other miscellaneous items. We really saw the strength was in the aerial work platforms with the booms. And as we look forward to Q4, I think based on the order trends we've seen here, I think we're going to see a little bit of a shift back to maybe more along the lines of what we saw in the first half of the year where we're probably going to see a little stronger mix of telehandlers than booms.
Wilson R. Jones: Charley, I'll just -- it's Wilson. I'll just add that on the pricing side, our Access team has been very disciplined in the marketplace. We're be very pleased with how they have maintained good pricing discipline over the year and that -- you're seeing that really kick in Q3.
Charles D. Brady - BMO Capital Markets U.S.: All right. I mean, from the large national chains, are they -- are you still in conversation with them getting the sense that they are still in the market re-fleeting, still bringing the age down? Or is that -- do you expect that, maybe even next year, to kind of wane a little bit and is being more taken up by the independents?
Wilson R. Jones: Well, as I mentioned in my comments, the independents are definitely in the game. We expect that to continue through 2014. But no sign of the nationals really slowing down. There are still a good bit of replacement to go. And then, we are seeing some expansions in some of these energy projects, there has been some expansion.
Operator: The next question is from Jamie Cook of Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: A couple of questions, again, sorry on the Aerial business. One, did you get any material cost benefit in the third quarter and what's your expectations for the year relative to when you guys initially guided? And then can you talk about your pricing strategy with regards to 2014 when your peers talked about announcing price increases potentially in August for January with Tier 4 ahead of us? So if you could talk about that. And then my last question, just on 2014, again, do you get concerned at all, CapEx is trending better this year for the large rental companies that potentially is pulling forward from 2014, and 2014 could potentially disappoint?
Charles L. Szews: On the material, Jamie, I think what we've seen is material actually stabilize over the past number of months. As we looked to the second to third quarter, there wasn't a lot of difference there. I think when you go back to where we were at the beginning of the year, material has been more favorable for us than we had expected as we came into the year. So that definitely has been a little bit of a benefit for us.
Jamie L. Cook - Crédit Suisse AG, Research Division: And do you care to quantify how much more favorable?
Charles L. Szews: Probably not a lot more detail than that. It's a contributor, and along with all the other MOVE initiatives that focus on the product and process cost reductions, they've all contributed.
Wilson R. Jones: Jamie, I'll jump in on the price and the CapEx question. We are studying now our pricing for next year. Normally, we announce in a August-September timeframe for a January implementation of pricing. So we're studying a lot of information right now. We -- in the past, there's been some -- when steel has moved with our backlogs that can be an ugly situation for us. So we're doing a lot of planning around that now trying to anticipate commodity pricing. We have communicated to our customers that we will be announcing a price increase in August. But again, a little early to come up with a specific amount there. With regards to their CapEx and -- are they pulling something forward? There may be some pull forward, but the good solidifying factor there is the independents are really coming in. And they'll come in behind that in 2014, if there is a pull forward of the nationals, and be in the game. So nothing significant pulling forward, but we are watching those fleet ages. We have seen a few of them come down, but a couple of the big guys are still up about 50 months, which bodes well for replacement.
Operator: The next question is from David Raso of ISI Group.
David Raso - ISI Group Inc., Research Division: Another question on Access. Lately, you've been converting the backlog pretty strongly into revenues, and the implied fourth quarter Access revenues seem to be a slower conversion of your backlog. So assuming I'm doing the math correctly, does that imply that the backlog is starting to build a little bit more for fiscal '14 in a sense that your -- the conversation, some of the orders are already starting to flow already for your fiscal '14, thoughts that you commented on earlier that 2014 is looking strong already?
Charles L. Szews: Dave, this is Charlie. The -- I'd say that we're typical sort of mid-cycle or early mid-cycle in this business, which says that the customers really aren't buying real early for next year. They have time, they know our capacities are good. There is some concern because most of the larger companies have asked us already about what our capacity looks like next year. But I don't think we're expecting a frothy '14, but I don't think you're going to see people order real too early. On the other hand, they are already starting to think about '14, they're talking to us about our capacities. We do think it will be another strong year. Housing looks good, nonresidential looks good and -- but I don't think that you'll see our backlog already building for '14.
David Raso - ISI Group Inc., Research Division: Well, I guess that's another way. The backlog this time last year versus the backlog right now, is there more or less for the next fiscal year than this time last year? I'm just trying to get a feel. Because either the fourth quarter revenue guidance is conservative, you're going to convert more of that backlog that you're implying, or there's essentially more in the backlog for next year's shipments. So I'm just trying to understand which one is it.
Wilson R. Jones: I wouldn't say there's more in the backlog for next year, David. This year last year, we had a much healthier military backlog, which makes it look bigger over the -- from previous year to now. But again, nothing -- I wouldn't say anything significant for 2014 in our backlog today.
Patrick N. Davidson: Thanks.
Operator: The next question is from Mig Dobre of Robert W. Baird.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: My first question on Defense here. You mentioned roughly 200 M-ATVs follow-on order from the Saudis. Can you give us a sense for progression through 2014 as to how these revenues will flow through? And also related this, recently the Pentagon mentioned their desire to sell a portion of the MRAP fleet to allied countries, how does that impact your ability to win additional orders?
Charles L. Szews: Sure. Mig, this is Charlie. The orders that we received to date from the Kingdom of Saudi Arabia are most likely shipped in the first half of the fiscal year in 2014. That's sort of how that progresses. Obviously, we're still chasing additional opportunities for M-ATVs internationally that could fit in later in the year or 2015. You're right, the Department of Defense has announced that they are going to divest about 13,000 MRAPs. Most of their M-ATVs, however, they're going to retain. Some are going to be embedded in units, others in prepositioned stocks, others still in training, will be utilized in training. Divestiture of MRAP has limited some of our M-ATV sale opportunities, but then that it's opened up some remanufacturing opportunities, if these would be provided to a friendly ally. On the other hand, I would like to continue to reiterate that we still believe we have an M-ATV opportunity in the range of 3,000 units in the future. So I think that we still feel good about our opportunity to sell additional M-ATVs. The difficult part when going internationally, of course, is what's the timing.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Sure. And sort of sticking with this topic, too, maybe if you can help us with thinking about the operating margin, a normalized level of operating margin for this segment. Because obviously, in fiscal '13, we have seen performance quite a bit above what you initially forecasted. So given what you know is coming in 2014, and I realize it's too early for guidance, but even some color there would be helpful.
Charles L. Szews: Well, if you recall at the Analyst Day, we provided some baseline estimates for sales and operating income and those are still pretty good estimates, in our view, for baseline types of situation. To do better than that, we're going to need to win some new business, like additional international M-ATVs, and other hard work of operating efficiencies or margin expansion. So we don't have any updated estimates for you for next year. We'll do that in October.
Operator: The next question is from Eli Lustgarten of Longbow Research.
Eli S. Lustgarten - Longbow Research LLC: I have one clarification. I think in your prepared remarks, you said the fourth quarter was $0.37 to $0.47?
David M. Sagehorn: Yes.
Eli S. Lustgarten - Longbow Research LLC: And with $3.13 for the 9 months and $3.60 to $3.70 guidance, shouldn't that be $0.47 to $0.57?
David M. Sagehorn: We have, Eli, you might be...
Eli S. Lustgarten - Longbow Research LLC: The $3.13 excludes the $0.11 -- includes the $0.11 already.
David M. Sagehorn: Yes. The guidance was meant to exclude the impact of the activist costs from earlier in this fiscal year.
Eli S. Lustgarten - Longbow Research LLC: So the $3.60 to $3.70 is versus the $3.24 for the -- or $.3.20 to $3.24 for the 9 months? So you excluded the $0.11 on that?
David M. Sagehorn: Yes.
Charles L. Szews: Right.
Eli S. Lustgarten - Longbow Research LLC: Okay, I just want to make sure which way the guidance went on that. And during your prepared remarks also -- I have a lot of questions, you made the point quickly that going from here to the $4 to $4.50 may not be linear. And the implication, obviously, is that there are some difficulties in comparisons in '14 versus '13 given how strong this year turned out to be. I mean, if -- can you give us an idea of what's behind that thinking? Is it particularly mostly the Defense sector? One of your big competitors talked about expecting 15% gain in Access next year, I'm not sure whether you believe it's that's strong or not. But the Access market looks like it should be pretty strength next year and I thought the biggest impact of final Tier 4 in your business, because of the horsepower difference, will be more in the '15 than in '14. And so where -- what are your big concerns about the nonlinearity of the ability to show improved gains in '14 versus '13. Is it Defense or is it something else?
Charles L. Szews: Great question, Eli, and let me give you some color on that. We just delivered a great quarter. We're now projecting annual FY '13 earnings per share that's within 7% to 13% of our FY '15 EPS estimate range. So FY '13 is real close already to FY '15 estimate range. As you can imagine, when we came out with our guidance -- or estimates, excuse me, at the Analyst Day, we did not provide FY '14 estimates, right? And now, our FY '13 expected result now exceed our internal estimates that we had at the time of the Analyst Day. So we want to remind investors that the Defense business is expected to experience a decline next year. We described that last year at the Analyst Day. Our challenge is to overcome the decline is now larger because we have an even stronger performance in FY '13 in Defense, relative to prior expectations. So we really need to see significant improvement on nondefense segments earnings in FY '14 results just to stay even with FY '13. Now we're pursuing a number of opportunities that could help us stay even with or slightly exceed our FY '13 results. But we don't have clarity on them now, they may never fully develop or they could develop too late for FY '14. Having said that, we expect all of our nondefense segment results to improve in 2014 from '13. We will have a better view on FY '14 in a few months when we release our initial FY '14 outlook as part of our Q4 earnings call, which again may or may not be a linear fit from '13 to '15. But we do expect our FY '14 results to be ahead of our original internal estimates for FY '14 that we had at the time of the Analyst Day. So I believe that's what we...
Eli S. Lustgarten - Longbow Research LLC: Which you didn't tell us.
Charles L. Szews: Right. We didn't give you that number, that's true. But as you can tell, we've inched very close to our FY '15 estimates already. And as you can imagine, we're outperforming that internal estimate. Having said that, when we look at FY '14, our view today is that we will exceed what that internal estimate was at the time of the Analyst Day.
Eli S. Lustgarten - Longbow Research LLC: And let me do a quick follow-up and then -- we've spent a lot of time on Access and strength of Defense. The Commercial sector looks like it has a lot more upside potential than, I guess, we were talking about could have been -- being conservative. But the number of cement trucks being sold is still a fraction of what used to be a normal market and even the refuse business reflect that it's starting to improve. Have you got any feel or sense of what kind of improvement or upturn of strength we may begin to see that market particularly as housing continues to recover?
Charles L. Szews: Well, Eli, we certainly expect Commercial segment to continue to strengthen. We continue to need housing to get better every quarter. And we'll have a better view on that for you really in October when we provide earnings guidance for next year, earnings estimates for next year.
Wilson R. Jones: But I think it's also -- it's fair to say that where the mix of the market today in the U.S. is running, it's still down more than 50% from a normal year and significantly more than that from a peak year. So we agree that there's significant opportunity over time with the mix of markets specifically.
Operator: The next question is from Ann Duignan of JPMorgan.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Can you talk a little bit -- I know a lot of the focus has been on fiscal '14 over the last couple of questions. But just from your perspective, where you're sitting right now, where do you think the biggest risks are to '14 outlook once we do get there? I mean, as you sit internally and you're looking at each segment, where do you see the biggest risk?
Charles L. Szews: Well, as I just said, we do believe that our FY '14 results will exceed what we thought we're going to do back in September 2012. So we have a good view and a strong view for what our performance will be for FY '14. In terms of risks, it would be a global economic risks. Are there -- is the recovery in the United States -- did we hit a pause or does Europe not continue its slow recovery? It will be something like that.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: So is that, in other words, the MOVE program is actually performing better than you'd anticipated, it's more an operating comment?
Charles L. Szews: Yes. Our operating performance, from what we can control, were on pace, if not, doing better than our original targets. And we're going to provide you with a scorecard in our MOVE initiatives here in October, but we are very pleased with our margin enhancement initiatives that we've laid out for the industry back in September.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay, and just to follow up on the Commercial. On the large order in the waste side, was that a delay in delivery because the customer is waiting for 12-liter natural gas engine?
Wilson R. Jones: Ann, we don't know all the specifics for the reasons for their delay, other than they just did delay their big order. I don't think it was related to any kind of engine issue. I think it was more or less them getting their capital expenditure budget in place and working through some organizational changes.
Operator: The next question is from Walt Liptak of Global Hunter Securities.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: I wanted to ask -- good quarter. I wanted to ask about the JLTV commentary. And I wasn't sure if I caught everything that you were saying, Charlie, but I think you were suggesting that, that project could move along faster and that the trucks are capable and the pricing is there. Can you provide a little bit more color about what you're alluding to here? Could we see awards going out before 2015?
Charles L. Szews: Sure. There's been a lot of speculation on all directions on JLTV. Is it going to get delayed? Canceled? Et cetera. You hear a lot about the sequestration and BCA and having a devastating impact on the Department of Defense budget, all of that is true. However, what I'd say is that we've been engaging at the highest level, and that we believe JLTV will stay on schedule. It's a high-priority program, it's relevant in all battles, in all theaters including the shift to the Pacific. Some of the programs that it competes against are narrow in scope. Only used in certain isolated conflicts. This is a vehicle that has major use in any kind of a conflict or theater. It's a vehicle that has next-generation capability at less than the customer's target cost. So -- and then recently, all the competitors had demonstrations of their vehicles to congressional Department of Defense leaders and indicates that Oshkosh's vehicle are ready now at low risk and our competitors are probably saying the same thing about their vehicles. So we think it's a kind of win-win program the Department of Defense needs and our taxpayer needs and so, that's why we think that in the budget battles, that it will fare well, and it has opportunity to stay on schedule or be accelerated because of we think that the testing can be done rapidly, vehicles are -- run faster off road than previous competitive [ph] wheel vehicles and we think that this is just a program that will be managed tightly to schedule.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Okay, good. Got it. And then I think all the questions on Access has been asked. But I wonder about the margin that you had. I understand the positive mix, but is this -- is Access exceeding your expectations for profitability? And are you rethinking that 2015 target?
Charles L. Szews: Well, by definition, I suppose that it exceeds our expectations because it did exceed our prior estimates. And I think what you're really seeing is that our margin initiatives are taking hold, the teams' are doing a great job on execution. As far as FY '15 targets, we're not here to update any targets today.
Operator: The next question is from Pete Skibitski of Drexel Hamilton.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: Just another time on the backlog at Access. If -- maybe I missed this, but if you stripped out the military in both periods, kind of year-over-year or sequentially, are you encouraged by the flow of backlog or are you incredibly more concerned from the last quarter?
Wilson R. Jones: No. I'd say we're pleased. One item we didn't mention is -- I think I did it in my prepared remarks, is Australia is off significantly. And that's been a big market for us over the years. So if you put that -- if you take that into play, we more than cover that miss in our backlog. So we're pleased with where we are from backlog position.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: Okay, okay. And then I guess last one. What's your sense of why AWP volume was up so much this quarter? It doesn't seem like we've had much of a non-res construction recovery, so why the big bump in AWPs, do you think?
Charles L. Szews: Pete, again, this is the seasonally strongest quarter of the year. Historically, year-to-year, and so I think that's just the expectation playing out.
Peter J. Skibitski - Drexel Hamilton, LLC, Research Division: Okay, okay . I mean, it was up double digits year-over-year even, but okay. So just normal seasonality. Okay.
David M. Sagehorn: In 6 months, Pete, AWP was largely flat, right, so...
Operator: The next question is from Jerry Revich of Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Can you talk about how much production and process cost reduction contributed to the EBITDA improvement in Access equipment in the quarter you listed on the slide. I'm wondering if you could just give us a ballpark estimate? Was it the first or second most significant factor? Just to give us a rough sense of appreciation on the MOVE initiatives in this business?
Charles L. Szews: Sure. We always list them in order of relevance to the margin impact, so I think that's the way you should consider.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And in terms of the Tier 4 transition for your Access Equipment business, if I remember right, you're going to have more of an impact in '14 and -- in '15 and '14, but can you just update us on what proportion of your products will be the transitioned in '14 in the U.S. and European markets?
Wilson R. Jones: Well, it's the majority of our engine work, Jerry, that we'll be working through. We're finishing up aerials. We're going to telehandlers next. You're right. It is late '14 and into '15, it will be a significant adventure for Access to work through. I think we're-- you look at where we're headed. We've guided to $4 billion in 2015. That will be a big part of the pricing going forward. It's the tier change.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And for Fire & Emergency, it looks like you've got pricing for the first time at all in a while. Can you just give us a sense how much of that is driven by mix on the custom trucks or what the extent of real price increases that are holding on more of the legacy products?
Wilson R. Jones: Well, Fire & Emergency announced their price increase in June. And that -- with their long backlog, that will really come into play as we get into this is December and January timeframe. But they did an average of 3% across all models. And again, that's in the market today, all orders coming in have that price increase on there.
Charles L. Szews: The price increase that you saw in the quarter, the price impact was from prior year increases.
Operator: The next question is from Steve Barger of KeyBanc Capital Markets.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: Pretty nice increase in the free cash flow guidance. You have $131 million more on the repurchase authorization. Just -- what's the conversation around capital allocation beyond that? Are you accelerating anything, or what's the thought?
David M. Sagehorn: Steve, we came up with the share repurchase program last November, $300 million was targeted over the 12 to 18 months. We made a big dent in that in the first quarter. Took another whack at it again here in the third quarter. And I think, we still would like to complete that $300 million and we're going to see the market ebbs and flows, Oshkosh stock price ebbs and flows, and we're going to try to be opportunistic as we look to complete the remainder of that $300 million.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: Do you feel like you need to go into FY '14 with a bigger cash balance than you've been carrying just because of some concerns that prior questions have brought up, or is that not really an issue?
David M. Sagehorn: No, I don't think so at all. I think outlook for '14, like Charlie mentioned, if you look at our non-defense businesses, we expect they're all going to be up. Defense is, I think, as we've clearly indicated, we expect that to come down next year. But we've been expecting that for some time here.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: So if anything, you should be able to work the cash balance down a little bit if you had a reason to spend some of that whether it would be an acquisition or an accelerated buyback or anything else?
David M. Sagehorn: I think, what we've talked about is trying to be opportunistic as we look at our capital allocation. If you go back to the -- again, back to the Analyst Day, and that's the approach that we're going to try to continue to maintain here as we head into '14.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: Okay. And then just one quick one on Fire. When you think about the margins at low single digit, how much of that is mix from the custom market being down? And how big of a margin driver could that be if that part of the market specifically were to pick back up?
Charles L. Szews: Steve, it's probably mostly price compression and just a market that is down 40% that's driving the margins down. Mix is still favorable. Custom versus commercial will -- the content and our options on the custom trucks probably aren't as high as they used to be, so those are all factors. But this is a business that we do think we have a lot of opportunity to work for margin enhancement over time to deliver some value for shareholders.
Operator: [Operator Instructions]
Charles L. Szews: Okay. It looks like we've concluded our Q&A. We appreciate your interest in Oshkosh. Our MOVE initiatives are gaining momentum. We've been working hard to raise our margins. In this quarter, the results of our efforts have become more visible. We will continue your to work day in and day out to execute and deliver value for our shareholders. Have a great day, everyone.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.